Daniël Pretorius: Good morning, everybody. Thank you very much for taking the time to attend our results for the -- results presentation for the quarter ending the 30th of September. It's been almost -- well, I would say it's not a short quarter but it's been less than 2 months I think since we released our year-end results, so not much happened other than some good stuff. 
 While you read through the disclaimer, I would've told you at the previous results presentation that our focus in the near term really is to get a consolidation of our Crown and Ergo circuits finalized, to go through this period of transition and to start trending in the right direction in order to have full optimization of this fully integrated circuit. And I think you'll see from both the results and also from the trends that both Craig and I will take you through that we are certainly moving in the right direction.
 So we are pleased, first of all, that our gold production is up significantly by 11% to 35,000 or just under 36,000 ounces, which I think will assist us in threatening the lower end of our target range of between 140,000 and 150,000 ounces for this year.
 Obviously, the fine-grind, which I’ll talk a little bit about later, might also add some impetus to that towards the end. And I also must emphasize that we don’t talk about guidance. We talk about our targeted performance because we are in ultra-volume environment and it's very sensitive to volume, very sensitive to recoveries, but we've built something that if it runs efficiently more or less achieve those sort of numbers.
 Gold revenue, also a combination of the additional gold production and also the higher gold price, is up 34% to just over ZAR 0.5 million -- ZAR 0.5 billion rather. And our operating profit again is up 51% to ZAR 173 million for the quarter.
 Our trending in the last few reporting periods since end of 2010 has really been very encouraging. Our business has managed to take full advantage of the high gold price and of a relatively well-managed cost base. And I think these numbers with the current gold price are certainly sustainable, also taking into consideration that we are nearing the end of a -- from a free cash flow perspective, nearing the end of some rather high-capital reinvestment into infrastructure.
 The Ergo trends. Ergo now represents the consolidated Ergo and Crown circuits. We give you those trends from the first quarter of the previous financial year. And this is just the amount of tons that we pushed through our various plants. The Crown plant has now been fully decommissioned. It started in 1984 odd. It was supposed to close 8 years later.
 We finally managed to close it or we did close it earlier this year around about May, not because it was no longer capable of producing gold at a profit, but simply because that entire footprint had run out of deposition capacity, and we had linked it up with our bigger Ergo circuit where recovery efficiencies should be higher based on new technology or newer technology and also where we have ample deposition capacity. And economies of scale might in fact also start to -- - are in fact starting to show some positive outcomes.
 You could see that the volume up from just over 5 million tons in the previous quarter, touching 5.6. Our capacity is 2 million tons per month, the combine plant capacity that -- the capacity that we have. The City Deep plant is in a clean-up phase, high-grade clean-up material. The Knights plant is still running at around 200,000 tons per month focused on sand reclamation areas. It's the one plant where we still do milling and introducing sand into our circuit. And that will go for quite some time, now busy with the Cason dump. And from Cason, we'll move on to the 4A6 dump in that vicinity, and we’ll continue for a number of years going forward.
 We are very pleased with what the Ergo circuit has been doing. The volume throughput in Ergo is most definitely trending in the right direction, and this is now -- most of it going through a single line of pipe columns all the way from Crown linking up with the Elsburg pipe column network, I mean from the all the way through to the Ergo plant, all 50 kilometers of it.
 Our yields, down from last year when we were doing fewer tons as you could see, but at higher grades, and -- but up from the previous quarter. So we're definitely seeing, I think, the recoveries at the Ergo plant and the slightly high-grade materials coming from the various -- - from various reclamation sites and being feed into that plant. We're seeing it touching the 0.2 gram.
 Cason obviously also had a really good month or a really good quarter. It came in at higher-than-anticipated recoveries. But this 0.20 number, I think that is a comfortable level for us. There is still some room for improvement, but it’s certainly a comfortable level for us, also considering the areas on the Elsburg reclamation site in particular that we are currently reclaiming towards the outer edges of the tailings dam before we go into a next cut, the next layer, where as a general rule you would find slightly lower grades.
 Production from the previous quarter. These are now numbers associated with continued operations, all about surface operations. You could see our production is up 4% from the same quarter in the previous financial year and up 11% from the last quarter of the 2012 financial year. It's combination of good volume throughput, very solid recovery from the previous quarter and also better recoveries coming out of our Ergo plant.
 Our flotation/fine-grind project, this is, as I said earlier, the last of the confirmed and approved high capital or large capital investments. And this is essentially aimed at improving recovery technologies -- improving recovery efficiencies, rather. Every time that people managed to get more gold out of the same ore body, it’s been associated with better grinding techniques. And what you really need to do is to prepare your material in such a way that it is a fit for the milling or the grinding technology that you want to apply.
 And we realized after some research and development that the Deswik mills or variation of the high pressure mills, the Deswiks would definitely give us access to a greater quantity of gold that’s carried in our materials. But we had to get the material to a suitable volume before we could push it through those mills. And through the refurbishment of our flotation circuit, we can establish a concentrate of roughly 4% to 5% of total throughput. That concentrate contains most of the sulfides -- Yahoo [ph] is the right word -- most of the sulfides, and those sulfides contain roughly 40% of gold that in our existing circuit remains in there.
 So we would be able to liberate -- activate roughly about 40% of the gold that doesn't respond at various recovery efficiencies. And you could see just looking at this graph that we would -- and the words don’t come out of this particular one, but you could see that from about February-March of next year, that circuit will go into a commissioning phase. Essentially what that means is from roundabout March of next year, we’ll have a cyanide solution that will go into a CIL circuit, into a carbon-in-leach circuit.
 Further down the timeline. The standalone elution circuit for this particular circuit will also be up and running. And hopefully, by August of next year, this thing will be in full production. A little bit of gold will come out of that towards the end of this current financial year and push us towards, hopefully, sort of the midrange of our targeted production range. And come August next year, we hope to see the full benefit of between 16% and 20% additional recovery efficiency, pushing recoveries up from just over 40% to just under 50%.
 Craig will talk to you a little bit about the group trends and then I’ll talk to the near-term, looking-ahead portion of the presentation. 
Craig Barnes: Thanks, Niël. Good morning, ladies and gentlemen.  So just on some of the group trends. Firstly, our operating margin you can see was up on the previous quarter to 32% from the 28% in the fourth quarter of 2012, although it was slightly down on the first quarter of 2012. And that was mainly as a result of increases in costs such as labor. We had approximately 8% increases in costs year-on-year. Electricity, just under 17% increases in electricity costs. And we also saw above inflation increases in reagent costs, above 10%, which obviously put pressure on those costs.
 EBITDA or earnings before interest, tax, depreciation and amortization, you can see significantly up on the previous quarter to ZAR 114.7 million and also up on the first quarter in 2012. And it was obviously driven by the 11% increase in gold production, as well as the 6% increase in the rand gold price.
 Our headline earnings per share. You can see although we were up on the first quarter of 2012, up about 67% from the ZAR 0.12 to ZAR 0.20, we were down ZAR 0.02 on the previous quarter, the fourth quarter of 2012. And you'll recall, at the last quarterlies presentation that I did mention in the last quarter, the fourth quarter of 2012, we had approximately ZAR 0.16 adjustment to deferred tax, which is sitting in the ZAR 0.22. So you must have to strip that out to compare it to the current quarter. And that deferred tax adjustment, that deferred tax credit that came through in the last quarter of 2012 of ZAR 0.16, was largely due to the tax rate change in our deferred tax as well as a deferred tax credit, which came through for deferred tax assets which were previously not recognized relating to Ergo. So that adjustment was in the previous quarter. 
 Free cash flow. Yes, our free cash flow was negative for this quarter and that was largely driven by obviously the CapEx we're spending on now Ergo flotation/fine-grind project. We spent approximately, I think, it’s about ZAR 94 million to date on that project, and we've committed an additional approximately ZAR 100 million. And the other reason that, that number is negative is if you look at the balance sheet, you’ll see our data’s number is quite high compared to the previous quarter and that data’s number includes a data for gold, which was sold in this quarter, for which we only received the cash a couple of days after the quarter ends. So that’s really just a timing difference and that was about ZAR 106 million. And there was also data for VAT of about ZAR 51 million.  So that cash came through a couple of days after quarter end. 
 Hey, just a bit of detail on the income statement. You can see that our revenue was up 17% and again on the back of a higher gold price and also the increase in production.
 Net operating costs were up 20%, and that was largely driven by obviously higher volumes. Year-on-year, our volumes have increased by 7%. And I mentioned a little bit earlier that our electricity cost's gone up just under 17%. And also, wage increases which kicked in, in July of this quarter were up approximately 8%. So that left us with an operating profit of a ZAR 174 million, just under ZAR 174 million, up 11% on the first quarter of 2012.
 Depreciation is obviously increased because of the CapEx spend on projects at Ergo. Obviously, the new infrastructure is now being depreciated, that’s the Crown Ergo pipeline, the upgrade of the plant, so we would expect depreciation to increase because of that. 
 Net finance income, you can see increased quite significantly to just under ZAR 30 million and that was -- that number included the dividend from Village Main Reef of approximately ZAR 26 million. 
 Profit after tax, up significantly by 34% to ZAR 110 million. You can see that tax came down slightly and that was -- - there was 2 main reasons for that and obviously the lower tax rate year-on-year. I mentioned earlier the deferred tax rate has come down, and then that was obviously because of the dividend -- the new dividend tax coming in, in the previous year. And also, we had a tax credit which came through from our Guardrisk Cell Captive. And that left us with profit after tax up 123% to approximately ZAR 93 million. 
 Headline earnings per share, as I said, is up 67% to ZAR 0.20 from ZAR 0.12. And headline earnings per share from total operations was basically flat. Obviously, the first quarter of 2012 included profits coming through from Blyvoor.
 On the balance sheet, just a couple of numbers to highlight there. Under noncurrent investments and other assets, you’d see that, that has come down and that would look to be mainly attributable to the Village shares which we mark to market at the end of each quarter. And obviously, the Village shares with the dividend being paid, a significant dividend, they would have gone or traded x div, which would impact the share price. And in addition to that, their share price would have been impacted by obviously the strike at Blyvoor. 
 Other numbers to highlight are mentioned. Other current assets, you can see up significantly to ZAR 303 million from the previous quarter. And as I mentioned, that was due to the gold data, approximately ZAR 106 million, and also that VAT outstanding of ZAR 50 million odd.
 We managed to raise in this last quarter an additional ZAR 165 million on our DMTN program, our listed bonds, which has obviously resulted in an increase in our long-term liability number, you can see there. That obviously also was the reason that our cash went up to just under ZAR 410 million.
 Current liabilities. You can see also a slight increase in current liabilities, and that number includes the shareholder for dividend. The accrual of the dividend basically is the 38.5 million dividend that we paid at the end of the financial year.
 And then lastly, you can see our current ratio has improved to 2.4 from the 1.8 in the previous quarter.
 Now I'll hand you back to Niël to complete the presentation. Thank you. 
Daniël Pretorius: Thank you, Craig. Just very briefly, our Zimbabwe initiative. We have started with the commissioning of the alluvial site near Gweru, and we'll see just how much of the alluvial gold in that particular area we manage to -- we do manage to recover over the next few months. We'll continue also with regards the other exploration areas with interpretation of the ore bodies at Leny, Ascot, John Bull and KT.
 What we are finding, though, is that most of these deposits, whilst it has gold on surface, don't really lend themselves to the open cost near-surface-type of reclamation that we had set out to find and achieve in respect to these areas. So we're finding some gold. We're finding some good deposits in some of these areas but, by and large, from about 150 meters and deeper. So what we'll look at over the next few months through to February is to which extent it is advisable, feasible to continue with drilling in order to firm up these even further and how one can package these assets for some or other collaboration. We will not be spending large amounts of capital though to develop an underground resource in Zimbabwe anytime soon. 
 So looking forward. We have come out of a very busy period, and it's remained busy. For the last few years, we've been building Ergo or recommissioning Ergo, decommissioning plants and building pipelines, commissioning those pipelines, getting to -- coming to grips with the operating peculiarities of those pipelines. And for the next few months, that will continue while we construct and commission our flotation and fine-grind circuits. So very much, I think our focus will remain to make sure that what we’ve got going is done properly and that it delivers into the capacity of the engineering specifications of these installations.
 Our business is probably no longer as exposed to the typical mining risks that the South Africa underground environment has to manage on an ongoing basis, but we've got a different type of risk now. Our risk is to make sure that the volume throughput remains where it should be. Our risk is to make sure that our recoveries remain where they need to be in order to achieve and maintain the current production trends. And that's really where our focus will remain for the foreseeable future.
 We have done a considerable amount of work also in reorganizing the operational management team with the redeployment of many of former SBU managers to run specific portfolios. We've not taken just volume delivery into the Ergo plant, made that a single portfolio under the authority and management of a former SBU manager. This is how we've had to reorganize and redesign the way that we approach our business, having gone from what essentially was, I suppose, small-scale farming to a very large automated ranch and the deployment of skills into that extensive ranch. 
 We are very much committed to the timelines of our -- or the timeline of our flotation and fine-grind circuit. I think it would be a very interesting new addition, opening up new opportunities as well in the area of uranium recovery perhaps. We are waiting for Mintek to give us some information or feedback on test work that they're doing as to the recovery characteristics of uranium in especially the mix that will come out of the flotation circuit.
 I think increasingly also, it would seem as though the DRDGOLD board is leaning more towards innovation as opposed to robust horizontal growth and volume growth. That seems as though shareholders are increasingly rewarding innovation and absence of complexity as opposed to robust and sometimes maybe to rapid growth. 
 So research and development, I think, will continue to receive a lot of attention. And I think some of the capital that we'll save next year -- some of the money that we’ll save next year through the moderation of our CapEx investment program, we'll start sticking into research and development. So clever young metallurgists out there, clever young scientists out there, put up your hand and there's certainly a future in our company for people who can find us the technology that will match our volume to the recovery technology that they propose.
 We have taken the whole notion, the whole concept of sustainable development very much on board at DRDGOLD. I think, nowadays, the job of executives is to make sure that they manage and balance nature capital, social capital, human capital, manufactured capital and financial capital properly and adequately. You’ve got to give your shareholders between a 15% and 22% return on equity if you want to stay on the radar screen. You’ve got to make sure that the deployment of your manufactured capital is such that it is aligned with the other capitals that you’ve got to deliver into. If you are not sensitive to the impact of your operations on nature and natural resources, then you're going to be dead in the water in a very short period of time.
 A sound approach to nature capital will ultimately have the same impact as a proper approach to safety, for example, in the underground environment. So our focus over the next few years and maybe less than the next few years will be very much to reduce the threat that our company holds towards water for consumption in this area that, that -- I wouldn’t call it a threat, but the extent to which we compete with potable water into communities that, that is reduced by drawing water from alternative sources.
 We are spending a lot of money on making sure that the dust emissions in and around the Johannesburg area are reduced. And walking through the rugby match the other day that went so well for 40 minutes against the All Blacks at Soccer City, I was watching at them just sitting behind those -- behind that stadium and there's still a bit of dust. And unfortunately, it’s dust in the wrong place. It’s right in the valley between those 2 dams, and that’s where you want to stop it because that’s where somebody really clever decided to go and deploy or accommodate a college.
 So we want to make sure that we address that in the near term as well but notwithstanding the fact that we still have things to do. At DRD, we also look at it from the perspective of how bad it could have been had we not spent the -- where's Mark [ph]? How much did we spend in the last 5 years on that, Mark [ph]? 
Unknown Executive: [indiscernible] about ZAR 50 million, ZAR 85 million a year. 
Daniël Pretorius: ZAR 85 million a year is what we spend on managing our tailings dams and dust emissions in and around the Johannesburg area. And we do that with cash flows and we still manage to deliver, I think, the returns to shareholders that we have over the last few years. This year, the combination of the buyback plus the dividend is 5%, and Craig will talk to you about return on equity. These measures -- these are the things that are becoming part of our language on an ongoing basis. But we look at it from a perspective back to dust, of how bad it could have been had we not over the last 5 years spent on average ZAR 85 million on dust suppression.
 You don’t do these things, you get into trouble with the NGOs, you're going to get into trouble with the regulator. Your license to access and mine the wealth of this country will be limited. It will be restricted. Those conditions will become impossible to achieve.
 Social capital has become the real responsibility of every South African, social capital and development in particular. If you think that you can just manage your own little group of people, then I think you are deluded because in South Africa, the job is just simply too big for government. They don't have the resources. They don't have the people. They don't have the skills to adequately cover the entire field.
 So unless we create these corporate little pockets of stability, little pockets of excellence, and Barry De Blocq who's here is in charge of our HR will tell you a little bit about what we're doing at EBDA and bringing maths and science not just to teachers but also to children, if you don't do that, then there will be another generation of South Africans that are incapable of providing employment to other South Africans. We're beyond the point of creating jobs. We're now entering the stage of creating job creators through the initiatives that we run at EBDA, and that will very much remain a focus point of this company for as long as the current management team is around. 
 And then of course, you’ve got to address the fears of your own people. You’ve got to make sure that the programs that you have internally are flexible enough that you can identify talent and that every person in your organization can achieve the highest possible position in that organization that you now have no waste of talent. And when he walks through those gates, he’s going to be aware of the fact, be told that it’s not only what you get paid today but it’s also how we look after your future tomorrow. So when he walks through your gates, the very last time after 20 or 30 years of service, that he doesn't walk into a squatter camp and squalor for the rest of his life. 
 Financial saving and teaching people financial literacy become very much part of our strategic focus. And we're spending money and deploying very intelligent resources in that regard as well and also bringing on board other corporates that are like minded, that are concerned about the future of the children of this company, with programs to educate them so that your employees have something to hope for insofar as the next generation is concerned. Ladies and gents, if that is not part of your strategic focus in corporate South Africa today, then you are not in the right country, you’re not in the right jurisdiction.
 And then of course, back to business. We’re looking also at exploring other types of products, other opportunities, other products. There are huge deposits of waste material all around South Africa where mining has been happening for a long, long time. And increasingly, we're engaging in discussion to see whether or not our skill set of moving large quantities of material and super concentrating it can find application there.
 We haven't done anything or committed to anything at this stage. I think that requires any kind of public disclosure. But I can tell you that it is definitely something that is busy, very busy behind the scenes and that's why the already thin Mr. Schoeman over there is becoming even thinner. I suppose Kilimanjaro has some role to play in that regard as well, yes. So we won’t blame it all on DRDGOLD, but yes, it's quite a bit of work happening in that regard as well.
 So what we have to look forward in the next quarter, this quarter that we're in, obviously, is insofar as the cash position is concerned, the last minute -- or early minute, what is the first minute payment of those outstanding debts coming into our treasury, and then of course the fact also that the gold price has been very good and the fact that increasingly we’re finding a degree of consistency in our volume and recovery delivery.
 So with that, we're going into Christmas with, I wouldn't say confidence because things happen so or change so quickly in South Africa, but suppose we are going into Christmas with some assurance as to where the trends over the last few months have taken our company. We’ve been very fortunate in the sense of not experiencing any kind of disruption, employment and employee or labor disruption.
 We don’t really have many laborers left. Most our employees are now sort of one level up on the operator stage, operator level. But again, I think it's probably something that one should be very thankful for that our employees have not allowed themselves to be manipulated into disruptive and bogus promises that can ultimately really just lead to their disadvantage.
 So a good quarter and also a good start to the new quarter and hope -- and long may the gold price continue. Craig and I will take some questions now if you have any for the next few minutes. Thank you very much. 
Unknown Analyst: Cassius Relean [ph] from Caveat [ph]. Just want to know, DRD, is it primarily a mine dump recycling operation? Is 90% of your operations recycling of mine dumps in and around Johannesburg? Do you do any mining at such deep level? 
Daniël Pretorius: Everything you see here is from the recycling. We have an exploration asset outside of Boksburg, the ERPM Extension 1 and 2. And there's a synergy between that and an asset that's long been forgotten. We have been thinking of ways and means of unlocking the value associated with that ore body. I think it’s in the region of 18 million to 20 million ounces. And it does seems as though unless you bring some infrastructure into that ore body that it will remain, by and large, ignored by the investor communities. So there's some work happening at this stage to, let's say, put a bow around a parcel of assets. But everything that you’ve seen here is a 100% recycling from tailings sense. 
Unknown Analyst: So it is primarily a mine dump recycling operation. 
Daniël Pretorius: Very much, yes. It’s a mechanized mine dump recycling operation. 
Unknown Analyst: Yes. And secondly, the strikes and your staff and personnel, were there no hiccups in relation to the Marikana unrest and so on? 
Daniël Pretorius: No. 
Unknown Analyst: Didn’t it affect you at all? 
Daniël Pretorius: We haven’t had any impact yet. Obviously, it’s something that we monitor quite closely because we have basically 3 groups of unionized employees deployed in and around our operations. It’s our own employees. It is the employees of the tailings recovery, the reclamation side as well as also the -- as well as the tailings management side, which is Fraser Alexander Tailings. And then because of the size of our footprint, obviously, we have quite a large number of security personnel which is also managed by -- it’s an outsourced function. And up until now, we’ve been very fortunate in as much as it’s not having had any disruption. But it’s an ongoing process. You’ve got to monitor it literally on a day-to-day basis. 
Unknown Analyst: I’m sure. Craig, and then just a question to you. The ZAR 165 million that was raised, would it -- what was the terms and the tenure of it and who were the takers of it? 
Craig Barnes: Just want to -- or know [ph] the biggest. I think it was Sanlam. Atlantic [ph], yes, just some of the smaller funds in and around South Africa that have got appetite for, I suppose, the risk associated with the company of our size. So there were a number of smaller funds that participated in that. And the terms and the tenure, on average, the interest rates average from between JIBAR plus 4% to JIBAR plus 5% and from 1 to 3 years. So just quickly, ZAR 20 million of that is a 1 year note, approximately ZAR 70 million is a 2-year note and ZAR 75 million is in a 3-year tenure. 
Colin McCulloch: Colin McCulloch from Imara S.P. Reid. The one thing we'd like to know a bit more about is what is the dividend policy going to be going forward. Because obviously, with the life of these dumps that you have at present, I think we're talking about 13 years, and for the shareholders to get their capital back in that period, the dividends are going to have to step up a little bit more than the ZAR 0.10. I'm just wondering if you could just give us a little bit more of an outline plan there. 
Daniël Pretorius: Certainly. Mr. Arnold van Graan is here, who is with CIBC. And I said to the leader of the team that he works with, Mr. Leon Esterhuizen, the other day that within the context of DRDGOLD, growth is dividend growth. So we really want to see if we can grow that dividend quite aggressively over the next few years. And forgive me if I give you a longer answer than what you were hoping to get, but if you look at the way that the business is being put together now, the various components of the business, I think there's a case to be made out. The business is really only about 5 or 6 years old with Ergo having been acquired recently in the way that we have collapsed various other circuits into that circuit and the way that the technology was developing, capitalized over time. And I think most companies, after a period of that where you built your plant, you built your mine, you've developed your asset, you should probably just stand back for a moment and see how well that asset performs without having to carry the burden of additional CapEx. And as I said earlier in my presentation, the CapEx on average over the last few years has probably been in excess of $35 million. And we want to see if we can maintain current production levels and maybe grow a little bit especially after the flotation and fine-grind, open up some more space between the cost line and the notional cash cost line the way as described by, Colin, and the revenue line and see if that can benefit shareholders. Looking at the last year’s number, as I said earlier, the buyback plus the dividend return some 5%. So if we can shoot for that sort of number, obviously once again depending on gold price and costs and production, I think they will be -- we're starting to get in sort of in the right sort of company, the company that we want to be seen with. We don’t have a firm dividend policy but what we do, do is state to shareholders that if there is a surplus of funds, then the surplus will go to shareholders. And what determines whether or not there's a surplus is whether we have adequate cover for operational contingencies, adequate cover for environmental guarantees and putting in place adequate environmental guarantees, and based on available cash plus cash flow going forward enough to cover near-term CapEx. In view of the fact that we don't have large CapEx projects that have been approved by the board just yet, which is for the next year, at least the amount that has been allocated to CapEx in the past, some of that would be freed up but certainly, I think a target of more or less where the higher dividends yield in the industry is playing it or are playing it. Maybe you want to add anything to that, Craig? 
Craig Barnes: Yes. I think, as Niël said, with the dividend we paid last year, and if you take into account the amount that was used to buy back shares, effectively we would have paid out ZAR 19 million-odd dividend. And you can calculate what the yield would have been on that between 4% and 5%. I think there's no reason we won’t be consistent or tend to be consistent with that this year. 
Unknown Attendee: [indiscernible] Buybacks are actually -- the shareholders don’t really appreciate buybacks as much as straightforward dividends because with dividends, you will get a multiple on your share price as opposed to buybacks which is just -- and the shareholders don't know the buybacks are taking place. So the buybacks, I would say, are not what we're looking for, to be quite honest. 
Craig Barnes: But just to explain that, buyback was specifically for the employee share option scheme to avoid issuing further shares in terms of that. I mean, I think it's a priority of our board to avoid dilution of shareholders. That’s something that's happened in this company previously, and it's definitely not going to happen under this management. So it's -- I think the board took that quite seriously and wanted to buy back enough shares to effectively cover shares which would have been issued under that option scheme, and that was really the reasoning behind that. But that’s not to say we wouldn't look at buybacks into the future, especially with withholding tax being at 15%. I mean that would be a decision the board needs to make. 
Daniël Pretorius: So I think it's also important to note that we haven’t really received a firm mandate from shareholders with regards to other dividends or mandate -- or buybacks. And there are some of our shareholders who are very enthusiastic about buybacks too because, of course, here people are on exact opposites when it comes to how they feel about buybacks. We will definitely strike a proper balance. Anything else?
 Well, thank you. Anything from the -- okay, thank you very much for your attendance. We appreciate it. 
Craig Barnes: Thank you.